Operator: Good morning and welcome to the Hilton Grand Vacations First Quarter 2017 Earnings Conference Call. Today’s call is being recorded and will be available for replay beginning at 2:00 PM Eastern Time today. The dial-in number is 888-203-1112 and enter PIN number 5550864. At this time, all participants have been placed in a listen-only mode and the floor will be opened for your questions following the presentation. [Operator Instructions] I would now like to turn the call over to Robert LaFleur, Vice President of Investor Relations. Please go ahead, sir.
Robert LaFleur: Thank you, Lorie, and welcome to the Hilton Grand Vacations first quarter 2017 earnings call. Before we get started, we would like to remind you that our discussion this morning will include forward-looking statements, actual results could differ materially from those indicated by these forward-looking statements, and the forward-looking statements made today are effective only as of today. We undertake no obligation to publicly update or revise these statements. For a discussion of some of the factors that could cause actual results to differ, please see the risk factors section of our previously filed Form 10-K or our 10-Q, which we expect to file later today. In addition, we will refer to certain non-GAAP financial measures in our call this morning. You can find definitions and components of such non-GAAP numbers, as well as reconciliations of non-GAAP and GAAP financial measures discussed today in our earnings press release and at our website at investors.hgv.com. This morning, Mark Wang, our President and Chief Executive Officer, will provide highlights from the first quarter 2017, in addition to an overview of current operations and company strategy. Jim Mikolaichik, our Executive Vice President and Chief Financial Officer, will then provide more details on our first quarter and expectations for the balance of 2017. Following their remarks, we will open the line for questions. With that, let me turn the call over to Mark.
Mark Wang: Well, thank you, Bob, and thank you all for joining us this morning. We’re pleased to report another strong quarter or second since the spinout, as we continue executing on our strategic priorities and evaluating opportunities to deploy capital to accelerate our growth. If you recall those priorities include growing contract sales, optimizing our capital efficiency, expanding our member base, enhancing member experiences, and pursuing opportunistic ventures. Let me now address some of the progress we made in each area, followed by an update on a few of our longer-term strategic initiatives. The first quarter was a very strong – was very strong across the board in our real estate business with all key metrics showing solid year-over-year gains. We saw both the U.S. and Japanese consumers’ propensity to spend on HGV’s future vacation products, remains strong in all markets. First quarter contract sales were up 9.5%, driven by improvements in both tours and VPG, and tours were up 2% with VPG up 8%. I’d like to point out that our first quarter contract sales growth was comfortably above 5% to 7% guidance we laid out for the year. But I’d like to remind everyone that the first quarter is the easiest comp of the year and the comparisons get tougher as the year on flows. That being said, we’re more comfortable at the high-end of the contract guidance range as we see things today. And if you look at our performance by region, Asia-Pacific was exceptionally strong with contract sales up over 20% away and by high single digits in Japan. Our strongest mark in the U.S. Mainland was Las Vegas with contract sales growth in the high single digits. On the capital efficiency front, over three quarters of our contract sales in the first quarter came from either fee-for-service or just-in-time inventory sources. Our fee-for-service sales mix was 60% for the quarter, which is above our full year targeted run rate, but as we discussed last quarter, we tend to lean a little heavier on our fee-for-service sales earlier in the year to make sure we’re on track to meet our developers objectives. Turning to our resort and club business, we made meaningful strides in growing our recurring fees and revenues which increased 16% for the quarter. Over the past 12 months, we increased net owner growth or NOG by 7.2%, and we’re on track to record our 25th consecutive year of positive NOG; the testament to our business model and our team’s ability to consistently execute year-after-year despite broader market trends. We view NOG as a true indicator of future growth. As I’ve previously talked about most of our members’ future purchases occur within seven years to eight years of their initial purchase. Therefore, it’s important to always have a critical mass of owners that are still in the secondary purchase window. Having doubled our member base since 2008, we believe we’re primed to tap into the secondary purchase window, providing a high level of certainty which we view as an important competitive advantage. But it’s important to note that NOG has two critical elements. The first is attracting new owners as we consistently demonstrated. This second is to ensure that are over 270,000 existing owners are engaged and excited about our club and resort as we continue to enhance member experiences. We know that communication, choice, and community are extremely important to owners. To that end, engagement with our new club website and mobile app has seen strong growth with 87% of owner base now enrolled. And we’re continuing to add new features based on their feedback. And these upgrades; an additional key user functionalities are planned for launch throughout the remainder of the year and we will enhance both the online community and mobile app sharing that allows owners to connect and share recommendations, favorites and experiences and ways they never had before. Additionally, based on the success of pilot programs we launched last year, we continue to add education options, so they can maximize their ownership. Helping them tailored custom vacations experiences from our over 14,000 vacations offerings. This all adds up to more owner engagement and satisfaction which is a crucial part of the NOG equation. Switching gears, I’d like to spend a few minutes talking about some of the major strategic initiatives we’re focused on. A moment ago, I talked about the strong first quarter trends in Japan. I’d like to share our thoughts on this important market and our future growth plans. 20% of our member base resides in Japan, and they’re among our most valuable customers. I started HGV’s Japan business back in 2000 and since that time HGV has become the leader in the Japan time share market. In fact, we recently estimated that approximately 8.5% of all 2016 arrivals to the Island of Oahu from Japan were HGV members; they’re travelling party or our marketing guest. And while we clearly get more than our fair share of Japanese visitors to Hawaii, one of our key growth initiatives is looking at ways to introduce HGV resorts directly into the Japan market. Each year Japanese travellers take over 150 million domestic leisure trips within Japan, compared to 17 million international leisure trips including 1.5 million trips taken to Hawaii. We believe leveraging our brand, our local sales and marketing expertise, and over 50,000 members in market could allow us to capture a portion of the Japan sizeable domestic leisure travel market. This is an exciting opportunity for us and we hope to have something to share with you on this effort later in the year. On the broader topic of new markets and expanded inventory, we continue to look at a variety of new destinations, based on widening our current distribution and importantly adding markets our owners tell us they would most like to visit. We are in various stages of discussion the urban and resort projects here in the U.S., as well as resort opportunities in Mexico and the Caribbean. We’re also looking closely at the possibility of bulk purchasing inventory of some of our more seasoned fee-for-service projects. In a sense, would go from a fee-for-service to a just-in-time relationship, which would allow us to earn the full economics of the real estate and also participate in consumer financing. We hope to be able to announce some progress on this front soon as well. Another first quarter news; we’re pleased to confirm the anticipated HNA purchase of approximately 25 million HGV shares from Blackstone, which closed in the middle of March. And we look forward to engaging with HNA as we develop our go-to-China strategy. In closing, we are very happy about the results for the first quarter and are encouraged by the performance of our core business, which continues to hold very attractive organic growth potential. To that end, we will continue focusing on pursuing opportunities that allow us to optimally allocate capital in an effort to accelerate our future growth. We remain very capital efficient in our robust pipeline of fee-for-service and just-in-time projects should allow us to maintain that position for many years to come. We’re excited by the potential that product in Japan and we continue to look at new markets closer to home. Our owner base has grown and engaged, and we believe HGV is uniquely positioned in the timeshare industry to create meaningful value for owners, our team members and our shareholders. With that, I’d like to turn the call over to Jim for some more details on our quarter and the full year. Jim?
Jim Mikolaichik: Thank you, Mark, and good morning, everyone. Mark indicated the first quarter demonstrated continued strength in operating performance and our adjusted EBITDA was above the guidance range we provided in December. However, as Mark also indicated comps grew more difficult as the year unfolds. So we are maintaining our current full year 2017 operating guidance. Looking at our 2017 first quarter results, our key financial and performance metrics grew across our business lines. First quarter revenues were $399 million, an increase of $29 million or approximately 8% in comparison to the first quarter of 2016. The primary drivers were a $10 million increase in real estate revenues, mostly driven from higher fee-for-service commissions and a $5 million or 16% increase in our highly recurring club and resort management revenue. Net income in the quarter was $50 million and this represented a $2 million increase over first quarter 2016, as operating gains were largely offset by year-over-year increase in general and administrative expenses, most of which are related to our transition to an independent public company. We also benefited from a lower income tax provision which, resulted from a change in a convention and calculating interest on taxes associated with instalment sales. This led to a decrease in our effective tax rate to 34% in the quarter from 40% last year. Turning to our operating segments, total segment adjusted EBITDA increased by 6% in the first quarter to $134 million. The first quarter results in the real estate business lines, our contract sales increased 9.5% with on own sales up 11.8%, and fee-for-service sales up 8.1%. However, real estate revenues increased by only 5% as a shift from a favorable percentage of completion deferral in the first quarter of 2016 to an unfavorable deferral negatively impacted reportability. Real estate margin was flat compared to the first quarter of 2016, while real estate margin percentage declined 140 basis points to 28.2%. Sales and marketing costs were higher, while product costs were lower. The reduction in product costs was attributable to owned inventory mix. And sales and marketing costs increased on an absolute basis due to sales growth and also increased as a percentage of contract sales by 170 basis points. This is due to increased selling costs to reward outperforming markets, coupled with marketing efforts to ramp our distribution channels in Hilton Head and Washington, D.C. as well as investments to build our tour pipeline and other markets. As previously indicated, quarter-to-quarter real estate results may show some variability, given completion timing on developed projects and product cost true-ups. In our financing business, revenues increased 9% on higher receivable balances in third-party servicing fees. Financing margin increased 4%, while financing margin percentage declined 360 basis points to 71.4%. The higher debt balance led to increased interest expense and servicing costs. And at the end of the quarter, our consumer finance portfolio stood at approximately $1.1 billion and carried an average interest rate of 12%. Delinquencies remain low on an absolute basis at 2.2%, but increased 70 basis points since the end of last year. And our default rate was essentially unchanged from year-end at just under 3.7% and our long-term allowance for a loan loss stood at approximately 10.9%, a 40 basis point increase from year-end. Combining these two business lines into our real estate and financing segment, first quarter segment revenue increased 6.4%, and segment adjusted EBITDA increased 2.5%. Real estate sales and financing segment adjusted EBITDA margins declined 120 basis points to 29.3%. Turning to our resort and club management business line, first quarter revenue increased 16%. The increase was a result of net owner growth, price increases, and incremental management fees from recently opened properties. Resort and club margin increased 13% as higher costs related to the timing of owner investments and new property openings modestly offset the stronger revenue gains. In our rental and ancillary business line, first quarter revenues increased 2% as rental revenues were up 5% and higher transient revenues of exchange activity added more rooms to rental inventory. Ancillary revenues were down $1 million, and rental and ancillary expense increased 4% due to the higher transient occupancy and owner subsidies at recently opened properties. These trends offset and rental and ancillary margin was flat in the quarter, while our margin percentage contracted 90 basis points. Combining these two business lines into our resort operations and club management segment, first quarter segment revenues increased 9% and segment adjusted EBITDA increased 11%. Resort operations and club segment adjusted EBITDA margin percentage increased 120 basis points to 58%. Bridging the gap between segment EBITDA and adjusted EBITDA, first quarter license fees increased 5% and general and administrative costs increased $8 million reflecting the additional public company expenses. This resulted in first quarter adjusted EBITDA of $94 million, a 2% decrease year-over-year. I would also like to point out, that we modified the way we calculated adjusted EBITDA this quarter. Previously we added back consumer finance interest expense in our adjusted EBITDA reconciliation. Beginning this quarter we will not add back consumer finance interest expense. This new approach is more consistent with the timeshare industry convention, which treats that as an operating expense of the business. We will also retroactively apply the new methodology to any prior periods as we report in the future. At the end of the quarter, our pipeline of inventory represented over five years of sales at our current pace, including 2.7 years of owned inventory and 2.6 years of fee-for-service inventory. And over 80% of our pipeline is capital-efficient, reflecting either fee-for-service or just-in-time sources. I would also note that we recently revised some of our pipeline assumptions which may affect comparability to the last quarter. And overall, we continue to focus on new development opportunities and believe we have sufficient inventory to support our sales strategy with a limited balance sheet risk. Turning to the balance sheet, we ended the quarter with $488 million of corporate debt, $695 million of non-recourse debt. And at quarter end, our leverage was approximately 1.3 times on a trailing 12-month basis. And as previously disclosed we executed a very successful $350 million securitization transaction in March. The notes were backed by $357 million of receivables or an advance rate of 98%. We sold two tranches, $291 million in an A tranche priced at 2.66% and $59 million in a B tranche priced at 2.96% for a blended rate of just over 2.7%. We are pleased with the execution and believe the attractive pricing and strong investor demand for these notes is a testament to the quality of the underwriting and the Hilton Grand Vacations owners. Most of the proceeds from the ABS offering were used to pay down our receivables warehouse facility, which was fully drawn at $450 million. After applying the proceeds to the bank facility, we have approximately $320 million of unused capacity on that line. Additionally, our $200 million bank revolver remains fully available. In the quarter-end, we had approximately $274 million in cash, comprised of $160 million in unrestricted cash and $78 million in restricted cash. In the first quarter we generated $125 million of free cash flow, compared to $28 million in the first quarter of last year. There are several items contributing to the year-over-year variance that are reflected in the cash flow statement, but the major contributor is payment timing resulting from the spend. More specifically as a subsidiary, we were subject to cash sweeps, and as an independent company we have a more normalized playable cycle. Given these items we believe our free cash flow will trend towards the higher end of our full year 2017 of $140 million to $160 million, and we will re-evaluate this range as we get closer to mid-year and update you on any changes we have at that time. I’ll wrap up by reiterating the balance of our 2017 guidance. We continue to expect full year contract sales growth of 5% to 7% delivering adjusted EBITDA up $372 million to $397 million using our new formula, and net income of $170 million to $186 million. That completes the prepared remarks. We’ll now turn the call back over to the operator and we look forward to your questions.
Operator: Thank you. We’ll now conduct an electronic question-and-answer session. [Operator Instructions] Our first question comes from Brian Dobson, Nomura.
Brian Dobson: Hi. Thanks for taking the question. Real quick, do you think you could touch upon the uses for your pre-tax this year and also on your plans to reach out to existing customer bases which is I think that’s been under penetrated source of sales over the past few years?
Jim Mikolaichik: Yes. Hey, Brian, Jim here; Mark and I can tag-team. Guess I’ll take the first and punk the consumer question on our owners to Mark. Free cash, I think we’ve stated in the past that we’re upping our owned inventory spending, which is embedded in that free cash flow concept. So we are upping that to about $135 million to $165 million that’s largely existing market, and we upped our CapEx for refurbishment on sale centers, investments, and consumer experience at our resorts. As for the free cash flow, the $140 million to $160 million, I think our focus near-term will be on entering new markets, new projects. Those markets include other urban destinations in the states, potentially Mexico, Cabo, Cancún, the Caribbean. We’re looking as Mark mentioned in his remarks, Japan is very interesting to us to get product to access the tourism direct in Japan and we’re also starting to get some maturity to our fee-for-service contract, where we have private equity partners that are starting to look to exit given the finite lives of their funds, and I think we’ll work with them as it’s – I think it works well on both sides for them to be able to get a return of capital enough to take on some new owned inventory potentially in a successful project that ultimately allows us to access consumer financing, some additional revenue and EBITDA. Longer-term we may consider some M&A. We will look at that, but we’ve got really nothing on there – our direct sites there at the moment. We think there’s a lot more we can do organically. Should we get out a couple of years and have trouble putting that to work? I think that’s when we’ll start looking at returning through dividends or buybacks, but that’s not the case right now. We really feel like we’ve got a lot of good growth opportunities.
Mark Wang: Brian, this is Mark. On your question on the penetration of our owner base; actually, we had a great first quarter with our owner base. Our VPGs were up 14%. But most importantly we’ve got a lot of imbedded value going forward in our business with our base. We know and you’ve heard us say probably before that for every dollar that a new customer invest in the real estate with us, we’ll average another dollar with them over the lifetime of their ownership. And that, actually that lifetime that horizon typically for that second dairy purchase was in the first seven years, eight years and so. The fact that we’ve doubled our owner base since 2008, we have a very, very fresh and young owner base. And if you just look in average our contract sales against our overall owner base, we generated north of $2,000 per member last year, and we think it’s – had peaked the top of the industry as far as how well we’re doing, selling our owner base.
Brian Dobson: Great, thanks. That actually hits on my follow-up questions as well and looking forward to seeing you at our conference in two weeks.
Mark Wang: All right. Thank you.
Jim Mikolaichik: Thanks.
Operator: We will go next to Stephen Grambling, Goldman Sachs.
Stephen Grambling: Hey. Good morning.
Mark Wang: Good morning.
Jim Mikolaichik: Good morning.
Stephen Grambling: First question on, at the Analyst Day I think that you suggested 1Q it represented about 20% to 22% of EBITDA for the full year. I think that would put you above the range at this point. Can you just elaborate on some of the other puts and takes in the quarter that may have impacted that comparability? And was there any discernible impact from the Easter shift?
Mark Wang: Sorry, what was the last piece? Easter shift did you say?
Stephen Grambling: Yes. Was there any discernible impact from Easter moving around in the quarter?
Mark Wang: No, nothing outsized from the Easter shift. I’d say, we really weren’t – we’re really not looking to give quarterly guidance. I think the bar that we set out there was just to give folks a starting point and short of going out with 25% per quarter we thought that putting some guide bars where we do see a little bit of seasonality is really in Q1, so we set those bars there. It’s not our intention to continue with that and we’re really looking at this on an annual basis. Really the puts and takes in the quarter as we – we had tremendous headline growth again, almost 10% on the sales side. And we saw most of that drop to the revenue line, but we have a little bit of negative – negativity quarter-over-quarter on the deferrals because we had a real positive deferral last year of about $10 million in the states and negative on the New York property at the beginning of this year which we mentioned in fourth quarter which will roll through the end of this year, maybe early next year. And then we really had put a lot of investing I think into our marketing and sales which is why we saw only about 2% growth in the real estate and finance segment. But you saw that all flow through in the net owner growth to our – to the club and resort segment growing at 11%, dropped about 6%. We still feel really good about the EBITDA guidance for the year. We did shift it obviously down given we added – we didn’t add back consumer finance similar to the rest of the timeshare industry, so people hopefully took note of that, otherwise it’s unchanged and we feel good about it. The comps are tough. I think as Mark said, for the rest of the year we had a really great year of growth 12%, 15% and 14% in Q2, Q3 and Q4 last year. And I think we just want to see how the year plays out, but we’re doing some investing and we think we’re set up.
Jim Mikolaichik: Yes, Stephen, I could say that – this is Jim – elaborated on. We’re investing into the core business, we’re investing – you’ll see in our resort operations business, we’re investing back into our owner base this year, we’re also building our pipeline for future net owner growth. So everything we’re doing is being done to ensure the business will be strong over the long run. And then I’d also say we’ve got this G&A built due to the spin-off which is the one that – we just got to get through it this year, but, yes, it’s more of a one-time, one-year time event.
Stephen Grambling: And so I guess two related follow-ups on those points. The first is just, what was the contribution from the new sale centers in the quarter and what’s the expectation for how those will continue to ramp? And then the second is just on the G&A, which did look a little bit high relative to – I think the expected range for the year. Is that the right run rate from the first quarter we should be expecting? Thanks.
Jim Mikolaichik: No, the contribution – first of all, we opened up at Hilton Head and D.C. We’re really excited about those markets. We’ve gotten off to a good start. But as we said, it takes a number of years to really get those markets ramped up. So contribution-wise, nothing – not really meaningful from an overall standpoint, but you’ll start seeing contribution from those as we get later in the year and into next year. And I think on the G&A side, we’re still trying to add about 18% to 20% all in, and that’s flipping a little bit below the line and above the line. They may have run a little bit hotter than somewhere expecting as a contributor to adjusted EBITDA, but coming off of a basically a $92 million G&A expense line item last year all in, we’re expecting roughly 18% to 20% and we think we’re in line with that and we have no reason to change that. We think we’ll have a more inflationary growth rate of about 1% to 3% growth once we get passed – or 1% to 2% maybe once we get passed this year as Mark said, and despite what you think might be a little bit heavier G&A above the line, we’re still comfortable with the EBITDA guidance that we put out there.
Stephen Grambling: Great. Thanks so much. I’ll jump back in the queue.
Mark Wang: Thanks.
Operator: We’ll go next to Bradford Dalinka, SunTrust.
Bradford Dalinka: Hey, thank you for taking my question. Wanted to ask you guys first about the inventory pipeline, is there anything you guys have in there that isn’t sitting behind an existing distribution point, Maui still see on the table? Also concerning the strength at Grand Islander, how much is left there?
Mark Wang: I’m sorry, what was the tail end of that question?
Bradford Dalinka: Considering all the strength at Grand Islander, how much get left there in Hawaii?
Mark Wang: Yes. We don’t provide that level of detail, but I can assure you that we have multiple opportunities at what we’re looking at and we’re going to make sure that we never put that distribution center in a position where we run out of inventory, so we’re in a pretty good shape as far as lining up our sequels there. The first question I think was around do we have any inventory where we don’t have distribution, was that the question?
Bradford Dalinka: Yes, is there anything in your reported pipeline where you don’t currently have distribution, Maui still on the table?
Mark Wang: No, I think everything that’s in our pipeline has distribution behind it. And Maui, Maui is the one project that we pulled out and the construction has been delayed on that property. And since we don’t have clear visibility of when we’re going to be able to start sales, we just thought it would be better that pulled out at this point to make sure that the visibility that we’re providing in our pipeline is clean as possible.
Jim Mikolaichik: I would add that we still have sales and marketing agreement there. We still think that project has some viability. We just thought it would be more conservative just in way of transparency. All in though, I mean we’re comfortable with well over five years of inventory at our current sales rate and 2.5% as I’ve said is on balance sheet and it’s owned and 2.5% is fee, big mix on the capital efficiency side. So there’s nothing about the inventory pipeline right now that we think is a risk that how we’re distributing our current sales strategy.
Mark Wang: Yes. We’re also on – Brad, we’re also making great progress in sourcing new projects in the new markets.
Bradford Dalinka: Understood and appreciate it. And a quick modeling question if I can, on your receivables factoring program. Appreciate that this is not in the cash flow guidance; some of your competitors have it in there. So we now that you’ve done securitization and paid down the non-recourse facility somewhat roughly speaking, moving forward, how much of a benefit to kind of reported free cash flow could that be?
Jim Mikolaichik: I think we’re probably going to be out with more specifics on that as we get to the middle of the year or second half of the year. I will tell you the deal that we just did. While it gave us an additional, call it, $20 million, $25 million after a transaction costs and because it picked up 8% going from the bank facility to the securitization market. Most of that was also were [indiscernible] because we have heavier interest burden coming out of last year just given the debt that we picked up as part of the spin transaction. And so it really didn’t have a much impact at all, it’s relatively flat on the year from a financing perspective. As we push forward all-in sequel, we think we can do a deal a year, call it, $300 million or $350 million, it’s going to depend on our fee versus owned mix and what the propensity is on the on our consumer financing. As we do more deals, obviously that means we’re doing also more repayments and replacements as we push forward. And we’re modeling that right now and modeling some of what we’re using our free cash flow with our board. So it really wouldn’t be fair to give you an exact number, but that’s kind of the order of magnitude in size that we’re thinking about that we should be able to do on an annual basis.
Bradford Dalinka: Perfect. That’s super-helpful. Thank you.
Operator: And our next question comes from Chris Agnew, MKM Partners.
Chris Agnew: Thanks very much. Good morning. I wanted to ask a little bit about the growth opportunities that you talked about. And given that you led with Japan, would it be fair to say that Japan is maybe the biggest near-term opportunity out of all the incremental course opportunities you talked about? And in the Japanese market, does that mean it lend itself to you favoring fee-for-service more than just in time around or the way you need to enter that market you need to invest, just trying to think about the capital commitment on your part, by entering that market? Thanks.
Mark Wang: Sure. On Japan, first I’d say to your first question that Japan we feel pretty confident that we’re going to be able to share some information later this year, but there’s also other markets that we feel comfortable that are going to play out this year too. But as it relates to the structure in Japan one of the things that we’re focused on is working with world-class partners in Japan, companies that have been in that market for multiple decades so with experience they build quality projects and so. As for as the structure we’re not really – we’re not really able to disclose how the structural would be done, but you can expect that we won’t be actually handling the development of it whether we take it down on a just-in-time basis or fee-for-service basis, those are discussions that are ongoing. But probably when you asked about Japan timing that’s probably, say, a little bit more mid-term because we’ve got to develop the product, we’ve got tremendous distribution there though which is what we’re trying to tap. But if I looked at near-term growth, it would probably be some of the properties that were converted to us as part of the spin which should be D.C. and Hawaii, New York and where we’re starting to ramp a couple of those up and we’ve got some interesting new products probably coming online. They’re excited about it and should be even more near-term growth opportunity.
Chris Agnew: Got it. Thanks. And then maybe a longer-term question, just your thoughts on balancing fee-for-service versus just-in-times/owned, what’s your sort of broader goal and what will determine the path there? Is it really just as opportunities present themselves or were there other considerations? Thanks.
Mark Wang: Let’s see, our objective is to remain highly capital efficient while balancing where I see, our balance sheet risk and our EBITDA growth. And so the mix is really going to have inflow overtime depending really on market opportunities. Currently our thought is 50-50 gives us the right mix of growth and high returns, but it’s something we’re going to evaluate as we move forward and I can’t tell you that as we – as we add on the inventory we are very focused on the just-in-time structure.
Chris Agnew: Got it. Thank you.
Operator: [Operator Instructions] We will go next to Brandt Montour, JPMorgan.
Brandt Montour: Hey, guys, thanks for taking my questions. So, on the club and resort revenue per member which came in stronger in the 1Q, just wondering what the puts and takes are there. Did you guys put any longer-term services through that will carryover over these kind of one-time in nature and what’s the appropriate run rate fee growth per member?
Mark Wang: Yes. First of all, our club business continues to grow. I think the benefit – you’re seeing the benefit early from two key areas. The first is, we’ve been talking about is NOG, where we just have more club members been using fees, additionally, we have higher management fee, dues that usually go up 2% to 3% a year as well as transaction fees. And we also saw four properties open last year and we’re going – we’re now experiencing the full benefit of those revenues in the first quarter.
Brandt Montour: Okay, that’s helpful. And then, just a quick question on AsiaPac. So we didn’t hear much on China, I understand this is of course a longer-term opportunity for you. But I was just wondering if you called it off on China just broadly given that you have political environment you’re in?
Mark Wang: No, not at all, we are optimistic. I think, I mentioned in the last call it’s definitely kind of our attention. We have people on the ground there today working on opportunities, but it’s a market that is going to take a bit of time to develop, but we think there’s a big potential there, which is at the end of the day it’s getting the right product for design and also finding the right partner or partners and we’re excited about the HNA closing. And while we haven’t had a tremendous amount of engagement yet with them, we expect that here in the near future. So yes, China is something that continues to be on our radar screen, and we’ll update you as we progress.
Brandt Montour: Great, that’s it from me. Thanks guys.
Operator: Ladies and gentlemen, at this time we will conclude the question-and-answer session. Thank you for attending today’s presentation. This concludes today’s conference and you may now disconnect your line.